Operator: Good afternoon, ladies and gentlemen, and thank you for joining DocuSign, Inc.'s Fourth Quarter Fiscal Year 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. As a reminder, this call is being recorded and will be available for replay from the investor relations section of the website following the call. If anyone should require operator assistance, please press star zero on your telephone keypad. We will now pass the call over to Matthew Sonnenfeld, Head of Investor Relations. Please go ahead.
Matthew Sonnenfeld: Thank you, operator. Good afternoon, and welcome to DocuSign, Inc.'s Q4 Fiscal 2025 earnings call. Joining me on today's call are DocuSign, Inc.'s CEO, Allan Thygesen, and CFO, Blake Grayson. The press release announcing our fourth quarter fiscal 2025 results was issued earlier today and is posted on our Investor Relations website along with a published version of our prepared remarks. Before we begin, let me remind everyone that some of our statements on today's call are forward-looking. We believe our assumptions and expectations related to these forward-looking statements are reasonable, but they are subject to known and unknown risks and uncertainties that may cause our actual results or performance to be materially different. In particular, our expectations regarding the pace of product innovation and factors affecting customer demand are based on our best estimates at this time and are therefore subject to change. Please read and consider the risk factors in our filings with the SEC together with the content of this call. Any forward-looking statements are based on our assumptions and expectations to date, and except as required by law, we assume no obligation to update these statements in light of future events or new information. During this call, we will present GAAP and non-GAAP financial measures. In addition, we provide non-GAAP weighted average share counts and information regarding free cash flows and billings. These non-GAAP measures are not intended to be considered in isolation from, a substitute for, or superior to our GAAP results. We encourage you to consider all measures when analyzing our performance. For information regarding our non-GAAP financial information, the most directly comparable GAAP measures, and a quantitative reconciliation of these figures, please refer to today's earnings press release, which can be found on our website at investor.docusign.com. With that, I'd like to turn the call over to Allan.
Allan Thygesen: Thank you, Matt, and good afternoon, everyone. Fiscal 2025 was a transformative year for DocuSign, Inc. Led by the introduction of Intelligent Agreement Management or IAM. Our vision is that DocuSign, Inc. establishes a new system of record that transforms how organizations create, commit to, and manage their agreements in a full suite AI-powered end-to-end platform. During the year, we also improved the performance of our business, building a strong foundation to add greater customer value and drive future growth. Q4 revenue was $776 million, up 9% year-over-year, and fiscal 2025 revenue was $3 billion, up 8% year-over-year. IAM momentum was strong, and fundamentals across the core business continued to improve with dollar net retention increasing to 101% in Q4. In addition, we produced strong profitability with 29% non-GAAP operating margins in Q4 and 30% for fiscal 2025, both significant increases from fiscal 2024. Reflecting continued progress in our commitment to improving efficiency while prioritizing investment to reaccelerate growth. As we look to fiscal 2026, we're focused on increasing the value that we deliver to DocuSign, Inc. customers as the world's leading agreement platform. We will continue to execute across our three strategic pillars, accelerating product innovation through an ambitious AI-led and evolving our three routes to market, and leveraging operating efficiency gains to invest in future growth. Let's dive deeper into why the future is bright. Turning first to innovation. Last spring, we introduced IAM at our Momentum event, then rolled the platform out to our sales-led small and mid-market customer segment in the United States, Canada, and Australia. At the end of the year, we launched departmental level deployments to enterprise customers while also opening up IAM availability globally. The initial launch delivered DocuSign Navigator, our intelligent agreement repository, DocuSign Maestro, our automated workflow builder, and the DocuSign App Center, where ISV partners deliver third-party apps to customers. We followed that launch by releasing DocuSign for developers to support our developer ecosystem. And through the acquisition of Lexion, we integrated additional powerful agreement AI capabilities. Today, IAM customers are using Agreement AI to streamline document review and editing, extract critical insights, verify parties, and build workflows integrated with third-party applications. Some IAM customers have reduced their contracting cycles by up to 75%. You can see our full list of recent product releases in our earnings release. Hope you can join us at our April Momentum customer conference and partner day in New York, where we'll share our ambitious fiscal 2026 product roadmap featuring Agreement AI, innovative new workflows, and expanded ecosystem and powerful new capabilities for enterprise customers.
Matthew Sonnenfeld: All with the goal of becoming
Allan Thygesen: the agreement system of record. Within our omnichannel go-to-market pillar, I first want to highlight IAM's strong momentum. In Q4, just the second quarter post-launch, to our small and mid-market customers, IAM represented a high single-digit percentage of in-quarter deal volume for the direct channel at over 20% of direct new customer deals. Customer demand continues to exceed our expectations, indicating strong product-market fit in this segment. In fact, IAM has quickly become the fastest-growing new product in DocuSign, Inc.'s history. Our sellers are sharing the IAM vision with all customers and approaching the renewal process as a natural opportunity for customers to start their IAM journey. Metro Credit Union is using Maestro to optimize member account maintenance workflows, reducing the time required to process automated payment forms from five minutes to just a few seconds, saving nearly 50 hours of work each month. Metro Credit Union is an enterprise IAM deployment driven by our eco partner, Sandbox Banking, an Encino company, and trusted fintech integration provider, our app center. The HR team at Duncan Family Farms, a multiregional agricultural company, is building Maestro workflows integrated with our WhatsApp capabilities to onboard multinational workers and easily set up low-friction direct deposit. Work that previously took days now gets done in minutes.
Matthew Sonnenfeld: Customer engagement
Allan Thygesen: also continues to increase. The typical IAM customer now has approximately 4,000 contracts uploaded into Navigator. This highlights the scale of challenge companies face with agreements and demonstrates the value of transforming this complexity into actionable insights. User adoption of IAM also continues to rise. Monthly cohort data shows consistent growth in usage, particularly for Navigator, as customers deepen their engagement with the platform. Beyond IAM, we continue to drive improvement across the core business. In Q4, our dollar net retention rate once again improved, rising to 101%, an increase of more than two percentage points from Q4 of fiscal 2024 and the highest level in six quarters. Dollar net retention continues to benefit from improved gross retention and solid customer usage trends. We also saw sustained momentum in new customer growth at 10% year-over-year to nearly 1.7 million customers. International and digital growth both continue to outpace the overall business and represent significant opportunities in the long term. In digital self-service, revenue growth accelerated for the second straight quarter, a reflection on the improvement in our self-service capability. And the partner channel's contribution to the business continued to increase in Q4 and fiscal, leveraging gains we've made with technology partners like Microsoft, SAP, and Salesforce, as well as growing interest from independent software vendors and global system integrators. We continue to generate growth opportunities in our core business. Avis Budget Group, a leading global car rental company, is using DocuSign, Inc. to accelerate agreement generation, enhance collaboration, improve productivity, and more effectively manage its supply chain. Our Gartner-recognized DocuSign CLM product remains a market leader and top choice for customers with sophisticated enterprise workflows. Cognizant Technology Solutions, one of the world's leading professional services companies for creating digital solutions, is deploying CLM across its organization to streamline agreement processes, improve efficiency, mitigate risks, and create AI-driven workflows. In our direct sales channel, we have strong IAM momentum with small and medium-sized customers. This segment represents a large opportunity for growth and customer impact in fiscal 2026, it's where we expect the majority of near-term sales and adoption. This year, our direct sales team will have greater ability to sell IAM across more SKUs and solutions while also focusing on more consultative solution selling, resulting in greater upsell opportunities. In parallel, we'll continue to evolve both product and go-to-market for enterprise customers. In fiscal 2026, we will continue to focus on departmental level use case adoption within enterprises. Also, a strong partner channel will continue to support and contribute to growth with enterprise customers. We're excited by the several early IAM enterprise customer wins after the initial Q4 launch. We'll also continue to invest in our self-service channel to make it easier for customers of any size to discover, buy, and manage our products digitally. In April, our larger direct customers will be able to add more capacity and renew their contracts via self-serve, and soon after, we'll unlock the ability for new and existing customers to buy IAM standard and professional plans directly from docusign.com in the United States, Canada, France, Germany, the UK, and Australia. Driving greater efficiencies and effectiveness across our sales and marketing efforts remains a large focus this year. In fiscal 2025, we made substantial improvements in our operating efficiency pillar. Our full-year operating margin increased by four points and by nearly ten points over the past two years. We've also become significantly more cash flow generative over the past two years, producing over $900 million in free cash flow, deploying nearly 75% of it back to shareholders in share repurchases. In fiscal 2026, our priority is to retain the profitability gains we've made during the past two years while making the necessary investments to accelerate growth. Beyond fiscal 2026, as growth increases, we believe we will create further profitability and margin gains while driving towards our most important long-term financial goal of reaccelerating to sustainable double-digit top-line growth. Blake will provide more detail about our fiscal 2026 outlook in his remarks. In closing, DocuSign, Inc. made incredible progress in fiscal 2025, and we're encouraged by customer enthusiasm about the IAM platform. With IAM, we're building an AI-powered end-to-end system of record that operates at scale and enables organizations of all sizes to manage their agreements and create value from their agreement data. I want to thank the entire team for their commitment and hard work in increasing the pace and scale of innovation at DocuSign, Inc. over the past year, and we're well-positioned to pursue the significant opportunity that lies ahead. Now I'll turn it over to Blake to discuss our financial results.
Blake Grayson: Thanks, Allan, and good afternoon, everyone. In fiscal 2025, we focused on stabilizing and improving our core business while building a foundation for future growth through our three strategic pillars: accelerating product innovation, strengthening our omnichannel go-to-market capabilities, and increasing our operating efficiency. Q4 results delivered substantial progress towards these initiatives. The core business once again improved with both a rising dollar net retention rate and continued growth in customer usage, while IAM maintained strong early performance in both product delivery and customer adoption. We also continue to drive significant gains in profitability from an efficiency focus across the company. Q4 total revenue was $776 million, and subscription revenue was $758 million, both up 9% year-over-year, slightly higher than our full-year fiscal 2025 growth rates of 8%. Q4 billings were $923 million, up 11% year-over-year, and full-year fiscal 2025 billings were up 7% year-over-year. Outperformance in Q4 billings relative to our forecast was driven primarily by three factors. First, approximately half of the beat was driven by higher early renewals, including those influenced by increasing consumption trends where customers add extra capacity before their existing contract expires. That dynamic also drove some of the Q4 revenue outperformance versus our forecast. The remaining half of the billings beat was driven by the other two factors: higher IAM billings as well as more deals shifting to annual billing terms. While we invoice the vast majority of contracts upfront and annually, we saw the rate increase slightly in Q4, which impacts current quarter billings. As it relates to early renewals, we are making concerted efforts to drive higher on-time renewals for those without expansion. The dollar net retention rate improved to 101%, up from 100% in Q3 and from the historical low of 98% in Q4 of fiscal 2024. Improvements in gross retention continued to be the primary driver of overall DNR improvement. Over the past eighteen months, we've put a growing focus on improving our engagement with customers through better business operations, sales compensation design, and an improved solution selling motion. We are proud of the progress we have made this year in DNR, and we recognize that we have remaining opportunities for improvement. Also, dollar net retention benefited from consistent year-over-year growth in both envelopes sent and consumption. Customer consumption, a measure of contract utilization, increased year-over-year in Q4 in nearly every industry vertical and customer segment. We expect dollar net retention to be flat in Q1 of 2026 and then moderately improve throughout the year based on both incremental improvements in gross retention as well as the growing contribution from IAM upsell opportunities. In Q4, total customers grew 10% year-over-year, approaching 1.7 million. Our continued momentum in customer growth highlights the value of investing in diverse routes to market and geographies. Additionally, we continue to believe that the breadth and scale of our customer base provide a strong foundation for the continued growth of the IAM platform. The number of large customers spending over $300,000 annually increased both year-over-year and quarter-over-quarter to 1,131 in Q4. This was our strongest quarter for large customer growth in two years. In addition, investments in our self-service motion continue to deliver strong results. In Q4, digital revenue growth accelerated for the second consecutive quarter on the back of initiatives to make it easier for customers to self-service account upgrades and grow their business with DocuSign, Inc. In fiscal year 2026, self-service and PLG programs will remain an investment focus area to reduce friction and improve the customer experience across all customer sizes and segments, including those that historically were sales-led. As we continue to make gains in self-service motions, it provides us with an opportunity in fiscal 2026 to reinvest in higher-value sales motions and IAM platform development. Progress in self-service allows us to continue evolving our go-to-market motion, create additional sales capacity, and provide increased future operating leverage. As Allan mentioned, we are seeing encouraging signs of strong initial customer demand for the IAM platform. In Q4, a high single-digit percentage of direct customer deal volume included IAM, representing a low single-digit percentage share of our total subscription recurring revenue book of business. We expect this IAM contribution to grow this fiscal year and anticipate it representing a low double-digit percentage share of our total subscription recurring revenue book of business by Q4 of fiscal 2026. International revenue in Q4 represented 28% of total revenue and grew 12% year-over-year. With improved stability and the launch of IAM in North America, we are seeing a changing dynamic across geographies. The domestic US business has started to reaccelerate while the international business, which is still growing faster on a relative basis, encountered growth headwinds in fiscal 2025. The Q4 launch of IAM outside of North America, where we will refocus our attention on upsell opportunities within our installed base, combined with a stronger partner channel, creates a significant long-term international growth opportunity that we remain excited about. Fiscal 2026 and beyond. Although it is still early for IAM internationally, Q4 IAM deal volume in Europe and Latin America combined were up six times from Q3. Turning to the financials, our focus on operating efficiency initiatives drove strong results this quarter and in fiscal 2025. Non-GAAP gross margin for Q4 was 82.3%, down approximately 20 basis points from the prior year. For fiscal 2025, non-GAAP gross margin was 82.2%, also down slightly on a year-over-year basis. As discussed last quarter, gross margins have been impacted due to the ongoing cloud infrastructure migration resulting in additional expenses associated with this transition. We expect a larger gross margin impact in fiscal 2026 as we complete the bulk of that migration in fiscal 2026 before easing in fiscal year 2027 and beyond. Non-GAAP operating income for Q4 was $224 million, up 25% year-over-year, resulting in a 28.8% operating margin. Q4 operating margin was up 3.8 percentage points versus last year and significantly improved over the 23.6% operating margin from two years ago. Non-GAAP operating income for fiscal 2025 was $886 million, also up 25% year-over-year, resulting in a 29.8% operating margin, versus 25.8% in fiscal 2024 and 20.5% in fiscal 2023. We have made significant improvements in profitability over the last two years and will continue to prioritize efficiency while making critical investments in areas like R&D. We ended Q4 with 6,838 employees, versus 6,840 at the end of fiscal year 2024. Essentially flat year-over-year, including our acquisition of Lexion. We remain deliberate in our hiring approach to align with key initiatives and are mindful of hiring locations based on cost and skills required. In Q4, we delivered $280 million of free cash flow, a 36% margin. Our free cash flow margin improved by approximately one percentage point from the prior year, driven by increased collections efficiency and higher in-quarter billings. For fiscal 2025, we delivered $920 million of free cash flow, a 31% margin, and more than double the annual free cash flow we generated two years ago. Our free cash flow margin for the year trended slightly higher versus non-GAAP operating margins, a trend we expect to continue for fiscal 2026, driven mostly by the strength in our forecasted billings growth. Our balance sheet remains strong, closing the quarter with $1.1 billion in cash, cash equivalents, and investments. We have no debt on the balance sheet.
Allan Thygesen: This financial stability
Blake Grayson: combined with consistent free cash flow generation enables us to invest in the business while also opportunistically returning capital to shareholders. In Q4, we repurchased $162 million of stock through share buybacks. Fiscal 2025, we repurchased a total of $684 million of stock using approximately 75% of our annual free cash flow generation. This rate is closer to 100% for the year when including the cash utilized to cover taxes on RSU vesting. We have $608 million remaining under our current repurchase authorization, and we expect to continue to opportunistically repurchase shares as part of our capital allocation strategy. Regarding the cost of our equity programs, our Q4 stock compensation expense as a percentage of revenue was 19.3%, down over three percentage points from the prior year. Non-GAAP diluted EPS for Q4 was $0.86, a $0.10 per share improvement from $0.76 last year. GAAP diluted EPS for Q4 was $0.39 versus $0.13 last year. For the full year 2025, non-GAAP diluted EPS was $3.55, versus $2.98 in fiscal 2024. And GAAP diluted EPS was $5.08 versus $0.36 last year. As a reminder, GAAP earnings since fiscal 2025 were positively impacted by the tax valuation allowance release that occurred in Q2 of 2025, and it's explained in more detail in our filings. Diluted weighted shares outstanding for Q4 was 214.5 million, slightly higher than expected, primarily due to the impact of a higher share price on unvested awards, which are accounted for under the treasury stock method. Basic shares outstanding for Q4 decreased by 2.2 million year-over-year to 203.3 million total shares.
Allan Thygesen: With that,
Blake Grayson: let me turn to guidance. For Q1 2026, we expect total revenue between $745 million and $749 million in Q1, or a 5% year-over-year increase at the midpoint. And we expect full-year fiscal 2026 revenue between $3.129 billion and $3.141 billion, also a 5% year-over-year increase at the midpoint. The guided growth rates include an approximate 0.7 percentage point of headwind to both Q1 and full-year fiscal 2026 revenue from the impact of forecasted foreign currency rates across our international business. We expect subscription revenue of $729 million to $733 million in Q1, or a 6% year-over-year increase at the midpoint, and $3.062 billion to $3.074 billion for fiscal 2026, or a 6% year-over-year increase at the midpoint. For billings, we expect $741 million to $751 million in Q1, or a 5% year-over-year growth rate at the midpoint, and we expect full-year fiscal 2026 billings between $3.300 billion to $3.354 billion, or a 7% year-over-year growth rate at the midpoint. The guided growth rates include an approximate one percentage point of headwind to both Q1 and full-year fiscal 2026 billings from the impact of forecasted foreign currency rates across our international business. Our fiscal 2026 guidance represents the first year we anticipate accelerated annual billings growth since fiscal year 2021, as we build up demonstrated momentum in IAM and continued improvements in retention. As shown in recent quarters and years, billings are impacted by the timing of customer renewals, which can create meaningful variability from period to period. We included the following three considerations in our top-line guidance. First, in Q1, we expect an approximate one percentage point headwind year-over-year to revenue from the leap year impact. Second, as mentioned above, the impact of foreign currency rates will have an approximate 0.7 percentage point headwind for revenue in Q1 and the full year of fiscal 2026. For billings, we expect an approximate one percentage point headwind in Q1 and the full year fiscal 2026. Third, for the full year fiscal 2026, we expect a billing-specific headwind of approximately one percentage point to account for reduced early renewal volume as a result of go-to-market design changes to reflect a growing focus on IAM upsell, including the introduction of an IAM transition SKU that can help offer IAM features to customers through upsells without the need to renew existing contracts. We expect non-GAAP gross margin to be 80.5% to 81.5% for both Q1 and fiscal 2026. We expect non-GAAP operating margin to reach 27.0% to 28.0% for Q1 and 27.8% to 28.8% for fiscal 2026. We included the following two considerations in our profitability guidance. For Q1 and the full year fiscal 2026, we expect an approximate one percentage point gross margin headwind due to the ongoing cloud data center migration efforts. As discussed previously, we expect a larger gross margin impact in fiscal 2026 before easing in fiscal 2027 and beyond. Also, for the full year fiscal 2026, we expect an approximate 1.5 percentage point operating margin headwind due to both one percentage point gross margin impact from cloud migration as discussed above, as well as the hard comp against the previously discussed Q2 2025 one-time release of a litigation reserve and the fiscal 2026 shift of some roles to cash compensation versus equity. This overall approach to profitability reflects our intent to maintain similar levels of operating margins realized in fiscal 2025, excluding the unique gross margin and operating expense headwinds noted above. This also allows us to prioritize IAM investments to drive longer-term growth. When we combine these with forecasted accelerating billings growth in fiscal year 2026, we're excited about our longer-term opportunity to improve operating leverage. We expect non-GAAP fully diluted weighted average shares outstanding of 210 million to 215 million for both Q1 and fiscal 2026. In closing, in Q4, we made continued progress towards strengthening the IAM platform vision and improving the performance of our core business with solid revenue and billings growth. We also maintained our focus on operating efficiency and produced strong non-GAAP operating profit and free cash flow. Stepping back, fiscal 2025 was a transformative year for DocuSign, Inc. We built a strong foundation created by nearly 1.7 million customer relationships, improving business fundamentals, and accelerated product innovation. We are excited to continue developing the IAM platform to create greater value for our customers across the verticals, geographies, and company sizes. We remain in the early stages of bringing our agreement management vision to life, and through consistent execution, we believe we can transform DocuSign, Inc. for customers, employees, and our shareholders. This concludes our prepared remarks. With that, operator, let's open up the call for questions. Thank you.
Operator: You may press star two if you would like to remove your question from the queue. Pick up a handset before pressing the star keys. We ask that you ask one question and one follow-up question. One moment while we pull for questions. Our first question is from Jake Roberge with William Blair. Please proceed.
Jake Roberge: Yeah. Thanks for taking my questions, and congrats on the really strong results in Q4. Allan, you've obviously had a pretty successful start selling IAM into the SMB and commercial segment over the last few quarters. As you've started to move the product farther upmarket, curious how the early reception has been with those customers and if there have been any new learnings for IAM in the enterprise space. Yeah.
Allan Thygesen: Yeah. So just as a reminder for everyone, we launched to SMB and mid-market customers in the US, Canada, and Australia in early June, and then to broader globally and to enterprise deployments at the beginning of December. So we just have a couple of months of data. But I would say the early signs, both on the enterprise and international front, are very encouraging. To start with international, we're seeing very similar patterns in sales productivity and customer acceptance in the SMB market segments in the new geographies we're targeting. On the enterprise side, obviously, the sales cycle is longer, but we've already closed a number of enterprise deals, and I think the value proposition is even stronger. I think it goes up more than proportionally with company size because the cost of complexity just increases as companies get larger. We're seeing that interest. And, of course, it's reflected if you draw a line back to CLM. CLM has historically been an enterprise-first category, and IAM is in many ways sort of a super step in replatforming of that. So it's not surprising that there's a lot of appetite. And, of course, with IAM, we can provide that value to a much broader set of users inside the companies, not just to the people who historically have handled contracts full-time, but frontline sellers, frontline buyers, frontline recruiters, and so on. And there's a lot of appeal to that. So we're very bullish on the enterprise opportunity. We still have some maturing to do both on the product and go-to-market side to be able to fully exploit that. But that's kind of part of the booster rocket for the business and why we think we have multiple years of expansion ahead.
Jake Roberge: Okay. That's helpful. And then, Blake, can you help us better understand the revenue growth guide in the context of the nice billings acceleration you've seen over the past few quarters, the 11% billings growth we saw in Q4? It would just be helpful to understand when we should start seeing that billings acceleration flow through to revenue growth on that pathway back to the double-digit growth levels? Thanks.
Blake Grayson: Sure. And so what I would do is let me just start with subscription revenue because obviously that's the vast majority of our revenue. So the first thing I would do when you look at these things on a year-over-year basis, make sure to adjust for FX. You know, we called out in the press release and the prepared remarks if you're reviewing that year-over-year. So, you know, our subscription revenue guide is about 5.8% at the midpoint. So if you reflect the 0.7% headwind from FX, so that includes its normalized call it x, FX around 6.5%, which I think might make a bit more sense when you're looking at the flow through. The dynamic of revenue is that it just lags billings. Right? It takes six to seven quarters because, you know, our average duration, our weighted average duration is still around 19 months to recognize that revenue. So billings growth decelerates as it has been over the past couple of years, revenue decelerates as well, but it's on a lag basis. So it just takes time to shift. And so in fiscal 2026, we're still rolling off the revenue tail from earlier contracts on deceleration. So, you know, in FY24, billings grew over 9%. In FY25, it grew under 7%. And so FY26 is unique, though, in that it's the first full year we're really expecting to accelerate our billings, and that's particularly so when you think about excluding the impact from FX, and that has a lot to do with the expected ramp we have in IAM. You can imagine with the ramp that occurs a bit more into the second half of the year. And so I'm really excited. Like, if we can reaccelerate billings in FY26 and continue that, I think we've got the opportunity to really accelerate revenue then, you know, in the longer term as well.
Operator: Our next question is from Brad Sills with Bank of America. Please proceed.
Brad Sills: Oh, great. Thank you so much. I did want to ask a question on the current macro environment, you know, given that you got a front-row seat here with a transactional model, at least in the core, you know, e-signature business with the envelopes-based pricing. What's your observation in terms of just activity inquiry, signature, and expansion deals, a lot of moving parts right now with macro policy changes. So wanted to get your thoughts on that real-time. Thank you.
Allan Thygesen: Yeah. So we're not seeing material changes in trend in terms of envelope volume, for example, as we looked at our February numbers, they were as expected and on the trend line. So nothing has flowed through us yet. And I will stress, we are incredibly diversified across sectors and across company sizes and even, you know, somewhat on a geography basis. And so, you know, to the extent that there are individual industries that are exposed, we would be less likely to see that in a strong way. So, so far, no material impact, but, you know, obviously, to the extent that the global macro economy meaningfully accelerates or decelerates at some point, that'll flow through to us. But, you know, some of these more secular things or individual countries don't have as much effect.
Brad Sills: Understood. Thank you for that. And then one more if I may just on I know, with the move towards more of a solution sale here, you know, workflow and, you know, end-to-end solution, it would seem that that's a more involved sales cycle than your traditional, you know, sales cycle. So if you could just give us an understanding, please, on kind of the preparedness and the direct sales channel for selling that type of a deal, obviously, you're expecting, you know, real healthy results that ramp through this year, so it would suggest that you are prepared in the channel. But just give us an idea for that effort and where you're at with that. Sure. Thank you.
Blake Grayson: Sure. I think it's a great question. I
Allan Thygesen: Yes. So as I mentioned earlier, we launched to the SMB and mid-market segment. Those tend to be shorter sales cycles, relatively speaking. But still, we're selling something a little bit more complex and broader. And we've been thrilled with the time to close, the win rates. Obviously, the average deal size is larger. And we're able to sell it very successfully. So I think and then we've seen very rapid install. We are able to turn on new clients in less than a month. I think it's 17, 18 days is the average right now, which is pretty incredible for the best offer, and particularly given, you know, some of what we're doing here. So I think that's very encouraging. As we look ahead to enterprise deployments, we are expecting that this is a more complicated sale to more stakeholders and more senior stakeholders. And so we are making some changes that you've already implemented. You know, go to market to try to prepare for that. We're not counting on a lot from the enterprise segment this year. As I mentioned in my prepared remarks, most of the growth contribution in IAM is coming from the SMB and mid-market segment in fiscal 2026. But, obviously, the enterprise segment is huge for us in the long run. And so to prepare for that, we moved a significant number of accounts to a predominantly self-serve model here at the beginning of this fiscal year. And that has then freed up the ability to rejigger the portfolios and sales so that everybody has smaller portfolios and the ability to go deeper with individual clients. And that's been incredibly well received by the sales team and I think is the first step in getting ready. Then there's quite a bit of enablement. So we just had our global sales kickoff and a whole bunch of training leading up to that. So we're investing very heavily in upskilling our teams to be ready for that broader conversation. We've also made some changes to our incentive plans around rewarding more new growth as well as rewarding IAM more specifically. And there's all kinds of other initiatives as you would expect to align to this. Another area that we're
Brad Sills: So
Allan Thygesen: And so I work with the big SIs, for example, is a key focus there to settle. That's a key element of both the sales and the post-sale process. So we think we have some work to do to fully capitalize on the opportunity, but we're already seeing, I think, very good demand. And, of course, we are, this is a reminder, we have a lot of customers across all customer segments. We're 95% or more of the Fortune 500 and equivalent in many of our overseas markets. So we already have a foot in the door. We're already a proven vendor. We're already well regarded. So that gives us a great starting point from which to sell this broader solution. But I'm not naive. I think we have work to do to become a full, you know, enterprise company, and we're investing in that both on the product and the go-to-market side to be able to capitalize on the opportunity we have.
Brad Sills: Very exciting. Thanks, Allan.
Matthew Sonnenfeld: Yep.
Operator: Our next question is from Kurt Maturn with Evercore ISI. Please proceed.
Kurt Maturn: Yeah. Thanks very much. Another one on IAM, Allan, can you just try to dimensionalize the opportunity for IAM at accounts when you get in there? Meaning, is this, you know, something that can lift the average spend with you all from percent to fifty percent? I'm just trying to think about that. I think you mentioned the enterprise could obviously be larger given the complexity. But, you know, how should we think about the opportunity in terms of customer penetration and then sort of the potential uplift for you all?
Allan Thygesen: Yeah. I mean, we're not getting into the specific uplift, but suffice it to say, it's very meaningful. We don't even let reps sell IAM right now unless there's an uplift. And just because we believe we're delivering a tremendous amount of value and we want to be compensated for that, and we're not seeing that as a huge friction point. In fact, we've been doing very, very well with that. So in terms of how we enter, you know, I'd say that there are multiple functional areas that can be drivers. Sales, we've always had a strong relationship with sales organizations, whether B2B or B2C customer onboarding, and that continues. And IAM is very strong for that. Procurement can be another very important functional area. HR can be another area of opportunity. But, really, it cuts across the enterprise. The larger the company, the more likely it is we enter in one of the functions. But in the smaller companies, it's often a single ubiquitous solution day one. All the agreements get ingested. And, of course, we have often most or all of their agreements if they're an existing eSign customer. And so that just allows us to deliver value really day one. So I think we feel it's a very significant expansion opportunity with customers of all sizes. And as you mentioned, we'll just have to see just how big it gets with big enterprise clients. But this is an acute pain point. If you go to a really large company, this is, you know, tens of millions of dollars. So we're excited to pursue that.
Kurt Maturn: Sounds good. And then maybe a quick follow-up for Blake. I think you mentioned you're expecting net retention or net dollar retention to be flat this year. I guess, is there anything going on from it seems like you made really good progress on gross. Are you sort of hitting a limit on the ability to keep moving that higher? I guess, can you just talk a little bit about the puts and takes of that? Thanks.
Blake Grayson: Sure. The commentary in the prepared remarks around the flat dollar net retention, that was specific to Q1. We actually do expect moderate gradual improvement throughout the year. So I think the reason we believe that, so the opportunity for us is both there's still gross retention improvements that we can continue to make. We made a lot so far. The team's been, you know, hats off to the team there, you know, across DocuSign, Inc. to be able to improve retention rates. We still have more opportunity remaining, so that's part of it. And then the other part, obviously, comes with expansion opportunities that we believe that in particular, IAM provides us for, also within, you know, our eSign business as well. And so with those two components, we believe that there's a moderate improvement opportunity for us to see throughout the year past Q1, which we're forecasting as being flat.
Kurt Maturn: Okay. Perfect. Thanks for clarifying. Congrats on the quarter.
Allan Thygesen: Thanks.
Operator: Our next question is from Brent Thill with Jefferies. Please proceed.
Brent Thill: Allan, just on the sales changes you're making, can you just maybe put that in context? Is this more of a tweak? Is this maybe the biggest overhaul you've had in your go-to-market in the last couple of years? How would you just characterize what you're doing to the sales team this year? And I have a quick follow-up for Blake.
Allan Thygesen: Yeah. I think it's neither. I think it's somewhere in the middle. I think, look, I don't want to underplay it where this is a big thing for us to graduate up to becoming a big-time enterprise company, and I'm well aware of what that takes, and, you know, this is the beginning of that journey. At the same time, I think you're well aware we've made some pretty substantial changes over the last couple of years and have come through that, I think, pretty well. And those involved, you know, layoffs and other things. And this time, we were able to move people around and make changes that are much more manageable, and I think the organization has already digested that. I was just at the global sales kickoff last week with everyone, and it was fantastic to see just how lean in the team was, how they had already accepted all their territories and quotas and new comp models, and were just excited to get going. And, of course, it doesn't hurt that we've been pretty successful over the last six to eight months, and everybody knows that. So there's a lot of excitement. So I want to be purposeful and thoughtful about how we roll these changes. I just want to give a quick shout-out to Paula Hanson, who you probably all know, joined us in early August of last year. And really led all this work and has just been a fantastic addition to the CNC team in every way and has had the full organization behind her. And I think it's a testament to her vision.
Brent Thill: Okay. And for Blake, what is the kind of the average uplift you're seeing in ASPs when IAM is going in? I know it's across the board, but is there a rough range you would put on it that you're seeing so far?
Blake Grayson: You know, there's not, Brent. I get asked this question frequently, and one of the reasons why, I mean, like Allan said, we are seeing larger deal sizes. We actually set up, you know, publicly a number of times. We are the vast, vast majority of our IAM deals, you know, to date have been in kind of that SMB mid-market, those segments. And so until we get, you know, much further kind of up the chain, we're not trying to give out expansion rates. I'm a little worried about, you know, things don't apply necessarily across all these customer segments. We'll have to see, but suffice it to say that, you know, our billings guide of accelerated billings for us next year reflects expansion opportunities, frankly, that we get along with retention gains, which is still top of mind, but we're not breaking out the expansion rates in specific terms tonight.
Brent Thill: Great. Thanks.
Operator: Our next question is from Patrick Walravens with Citizens. Please proceed.
Austin Cole: Yep. This is Austin Cole on for Pat Walravens. I appreciate you guys taking the questions here, and congrats on some nice results. Wanted to dig into the customers over $300K ACV had a nice uptick this quarter. Was wondering if there's any kind of more detail on what drove that number and what you're seeing with those larger customers.
Blake Grayson: Well, I mean, I'll take a stab. I would say most of that increase is from customers on our core. Right? Like, IAM, there's a contribution there in IAM, but it's not the majority of it at all. And, you know, you can imagine it's because we just launched into the larger customer segment. And so I think it just, you know, goes to seeing these trends of higher usage, higher trends, getting customers that are already installed to lift up and expand with us. I'm really excited by it. I think, you know, there's volatility in that number on a quarter-to-quarter basis. But it's really predominantly out of the core. And so it's what our enterprise, you know, and kind of larger customer segment go-to-market teams are working on. And been really excited to see that progress.
Allan Thygesen: Yeah. If I could just add to that to say that, you know, I think in particular, we're really pleased with the continuing recovery and progress in our North America business. We're, of course, the bulk of our business, as you know. And I think it's a testament to the continued improvement there, and I think we're sort of more fully out of the shadows of the COVID stuff. And everybody wants better agreement processes, and everybody is economic activity has been fairly decent across a broad range of sectors. And so we are well poised to capitalize on that.
Austin Cole: Great. And then there was actually some commentary about, you know, Dropbox is talking about kind of deemphasizing their sign business and just was wondering if you guys have seen or anticipate any kind of competitive opportunity there.
Allan Thygesen: No. I mean, there are lots of companies that offer basic sign solutions, and people come in and out. I think we've held our own very well. We continue to be the market-leading player, and I don't focus on individual companies specifically. Really, the competitive environment, I think, in eSign is pretty stable at this point. And if anything, I think we're probably making a little bit of progress. So I'm pleased with how we've been able to stabilize that.
Austin Cole: Great. Thank you.
Operator: Our next question is from Mark Murphy with JPMorgan. Please proceed.
Sonak Kolar: Thanks. This is Sonak Kolar on for Mark Murphy. Congrats on the results. Allan, I noticed this disclosure of essentially 100% penetration of the top 20 or 25 Fortune 500 companies across FinServ, healthcare, and technology, which is no doubt quite impressive. As you consider the growth levers going forward, how do you think about the balance between net new customer wins versus sort of increasing the ARPU of your existing large installed base, particularly with IAM?
Allan Thygesen: Yeah. I mean, it falls, I think, fairly from the question that, as you might imagine, we're very focused on growing ARPU with existing customers. We don't want to leave any stone unturned on the new customer acquisition front. And as you can tell, keep growing that, and those are the future customers that grow into $300K or more. And we want to make sure we continue to win there at an appropriate rate. But our primary focus and the focus of our sales teams recently focused on marketing teams is on upsell to the existing base, in particular of IAM.
Sonak Kolar: Thank you. And then as a quick follow-up, last quarter, you seemed to convey a marginal improvement in the environment for enterprise technology, I think, sort of towards the end of 2024. Fast forwarding to today amidst all this uncertainty around tariffs, trade wars, etcetera. Has that view shifted at all? And are customers a bit more cautious perhaps to lean into some of that software spending plans?
Allan Thygesen: Yeah. We haven't seen that yet. So as I mentioned, I think we see our envelopes volumes through the month of February. Nothing changes. So there's nothing on the activity front. Certainly possible that sentiment could evolve to where that affects technology spend. And I think we are in a good place where relatively speaking, to some other categories, and that it's pretty fundamental to how companies operate. Use electronic signing. And IAM has a fantastic and highly economic value proposition. And so, but, you know, obviously, if the global economy really takes a turn for the worse and sentiment takes a turn significantly for the worse, then that'll affect us as it will affect everybody.
Sonak Kolar: Thank you, and congrats again.
Allan Thygesen: Mhmm.
Operator: Our next question is from Josh Baer with Morgan Stanley. Please proceed.
Chris Quintero: Hey, guys. This is Chris Quintero on for Josh here. Thanks for taking the questions. Maybe one on IAM. As you make that move more into the enterprise, I guess, like, how much of a priority is IAM with those more senior stakeholders that you're having conversations with? What are those early conversations sounding like?
Allan Thygesen: Yeah. I think this is a very, it's ironic. It's a very acutely felt pain point, but I don't know that everybody's realized that there was a solution to the problem. So I think everybody has almost become accustomed to agreements being brittle and broken and delayed and causing inefficiencies throughout the enterprise. And so it's incredibly eye-opening when we can show them solutions that address that problem because that immediately leads to, well, we can solve that. That is a game-changer. And so I find I meet with C-suite executives in many of our Fortune 500 clients here and abroad. And I mean, it's exceptionally rare that I have a C-suite meeting where the IAM proposition doesn't resonate incredibly strongly. So I feel like it's more on us to execute and mature the product to where it can be deployed in every use case in their company and meet all the various checks that Jeff to go through and for us to mature our go-to-market process to really fully deliver on that. But in terms of the core value proposition, it resonates incredibly strongly and perhaps even better in large companies than smaller companies.
Chris Quintero: Got it. That's super helpful. And then really great to see customer consumption increase year-over-year, but just curious what you're seeing on maybe the pricing front on e-signature. Has that remained stable or is that also improving?
Blake Grayson: I'll take that, like sure. I mean, our pricing has been quite stable over time. It's something where we recognize that we are a premium product. But that's for a reason with the trust, the brand, the security, the functionality that we bring. And I think we're set up well for that, but no changes in pricing that I would call out, you know, over the trending period.
Chris Quintero: Excellent. Thanks so much.
Operator: Our next question is from Rishi Jaluria with RBC. Please proceed.
Rishi Jaluria: Oh, wonderful. Thanks so much for taking my questions. Nice to see continued momentum in the business. Apologize if I missed this during prepared remarks earlier, but when you gave your color around IAM contribution to subscription revenue for the year, just how should we be thinking about exactly how that's being defined? Especially given you've had revenue from CLM? Is that CLM revenue separate? Is some of that being recategorized into IAM? Maybe just help us understand the puts and takes around that definition, and then I have a quick follow-up.
Blake Grayson: Sure. So when we talk about IAM as a percentage of our subscription recurring revenue book of business, that does not include CLM. And it essentially represents, like, book of business is for us. We're defining it as, like, essentially the monthly recurring revenue at the end of that period. And that's relative to our total subscription revenue book. So I think it's pretty simple and to just show that the momentum that I think we're launching out of here in Q4 with regards to our outlook for, you know, for Q4 of 2026.
Allan Thygesen: Yeah. I'll just add. So beyond the numbers, we're continuing to sell CLM to enterprise clients very successfully. It's an industry-leading product. You know, Gartner, Magic Quadrant, for the last four years, all that. And it has some functionality for advanced workflows and AI that goes well beyond what we've built into the baseline IAM platform. And this year, you'll start to see a lot of the platform capabilities from IAM become available to CLM customers. So things like Navigator and Maestro, as well as other things, will be available to CLM customers. And so I think that vision of CLM as an integral component built on top of IAM really comes to fruition this year. And so I don't view the two as in conflict or cannibalizing more than it's a supercharger for our CLM vision and allows us to expand access to agreements to a much broader user set within large companies.
Rishi Jaluria: Alright. Got it. Thanks. That's really helpful. And then just going to the international business, you know, you talked about you're seeing maybe that decelerate while domestic is accelerating, talked about the plans to reaccelerate growth with IAM. Maybe just help me understand. When I think about international, you know, you're very underpenetrated. Right? I mean, in Europe, in Japan, let alone some of the emerging markets, and it feels like there's probably more TAM that's very greenfield in those. So why is it then that the core e-signature and international geographies is slowing down on its own? And what steps can you take to accelerate just core e-signature outside of the US? Thanks.
Allan Thygesen: Yep. Okay. I think international is obviously still growing faster than our domestic business, but there definitely was a deceleration in, you know, the second half of last year. I think it's a combination of factors. One is that we've historically been quite customer acquisition-focused. And as we discussed earlier on this call, our pivot really needs to be towards more, you know, upsell and cross-sell and use case deployment with existing customers. And that motion has been stronger in North America than, for example, in Europe. And so we have pivoted that, and I think we're going to make significant progress on that. So I'd say that's more of an execution issue on our side. And then on the product side, we just launched IAM in international markets, say, December 1st, with the localized product. And so we have a great opportunity there for that as a further boost to our international momentum. And we saw some really nice early results in those first few months. And then lastly, I'd say, as a third lever, is the evolution of the channel. This is early days, but historically, DocuSign, Inc.'s been a very, you know, direct-first and first, second, and third channel company. And even in markets where, frankly, we had very limited direct capabilities, and so we try to get a lot crisper on, you know, top ten markets or roughly that's where we're going to have a direct-first model. And then other markets where we'll be partner-first or partner-only. And so we're running a variety of experiments in individual countries, and that I think can be a really nice growth lever for us as well. I don't think we've had quite the right distribution mix, if you will, to pursue international. But we are absolutely convinced that international should be a major growth driver for the company. We're investing in product and back office and all that stuff to be able to support that. And I travel internationally very heavily. I think I was in Europe six times last year. And so we are absolutely pushing to deepen that penetration because I agree with you that there's no question we are less penetrated, say, particularly outside of the major English-speaking markets. And in some markets, like Germany and Japan, it's really quite early. And we have a lot of headroom.
Rishi Jaluria: Alright. Wonderful. Thank you, guys. Mhmm.
Operator: Our next question is from Michael Turrin with Wells Fargo Securities. Please proceed.
Michael Turrin: Oh, great. Thanks. Appreciate you sneaking me on. I was hoping we'd be further away from macro questions by now, but it's never the case. So the question Azure has been on public sector impacts, and if anything to consider. I don't think this is an outsized portion of DocuSign, Inc.'s business in any way, shape, or form. But can you just speak to the public sector and whether that's a potential opportunity or something you're taking a more cautious stance at all in the coming year just based on any initial signals you might be seeing there?
Allan Thygesen: Yeah. I think it's mostly upside for us. We don't have a big federal business base, really. Pretty modest. We do quite a bit of business with state and local governments in the US and have been perhaps a lot more very successful deployments that we think we can, you know, replicate our success from there as well as with large enterprises, with the federal government. And so we're investing and actually just brought on some senior leaders to lead our more concerted push into that area. And, of course, our value prop, I think, resonates well at a time when efficiency and better customer service should be a role for government service recipients and taxpayers is important. So we don't have a lot to lose, and I think a big upside opportunity, and so we're leaning into that.
Michael Turrin: Great. Just if I may, just one for Blake on just seasonality. I think you mentioned early renewal impacted Q4 revenue at least a touch as well. And I think just looking at the Q1 guide, it looks potentially especially conservative, but just walk us through one more time any seasonal components we should be contemplating and looking at Q4 to Q1 and then tying that into the fiscal year guidance? Thank you.
Blake Grayson: Sure. So if you're looking at Q4 to Q1, subscription revenue, we normally have a seasonal drop, right? But you are right that if you look at our guide, it's a larger normal seasonal guide. And so there are a couple of extra things that you have to take into account that are affecting that. The first is the leap year impact. That's a point. Us and when you're looking at Q1, not for the full year. And then, obviously, that revenue acceleration that we had in Q4, that was relatively unique for us from some, you know, larger customer contracts that essentially had pretty early renewals based on consumption trends. And so, you know, it's exciting to have that that's was pretty unique. Then also, we just got a we have a bit of a hard comp on a seasonal basis against the digital usage. You know, we started seeing digital usage kind of increase a fair amount, you know, beginning into 2025. And so that Q4 2024 to Q1 2025 had that bump there. So those are the, I would say, the biggest three components that drive that quarter-on-quarter change. It's a little bit more magnified than you would have seen last year.
Michael Turrin: Thank you.
Operator: Our next question is from Alex Zukin with Wolfe Research.
Alex Zukin: Hey, guys. Just two quick ones for me. First, congrats on one of the strongest quarters in one of the most difficult selling periods. But maybe just IAM, really like the disclosure of that going from a low single-digit book of business to a low double-digit book of business next year. And that implies, like, a five to six x increase. So aside from the visibility that you've seen with the better expected contribution this year and good execution, what are you seeing in conversations that give you that confidence of the momentum continuing?
Blake Grayson: I mean, all for me, honestly, it's just with the data that you see coming in and the deal volume that we have, and how our go-to-market teams have embraced this as an opportunity to help customers add value. I think that is, you know, far and away what drives the essentially, that accelerating business growth. I mean, obviously, gross retention improvements mean a ton, right, because of our book of business. And, like, our focus on that is still a number one priority for us. But I think that is the just that ramp that we've seen and how these go-to-market and product teams and everybody, frankly, across DocuSign, Inc. has really bought into the concept of the extra value we're providing to customers across this platform, and we're seeing it, although it is obviously still very early days, we have a lot of room left to go and execute against. That's what is driving that kind of excitement for us in that accelerated billings guide that you're seeing from us.
Allan Thygesen: Yeah. I would just add that the one way to think about our business is we have different cohorts that have been launched with IAM at different times. Right? And we have the North America and Australia mid-market and SMB segment that we launched in June. And so we kind of know what that looks like now, eight months in. And those results are very positive. And then we got a couple of early months of data from trying to replicate that with other customer segments and geographies, and it's showing similar patterns. And so that is part of what gives us that confidence in being able to roll forward without even relying on, you know, big success in the enterprise, which of course, we provide extra upside and something that we hope to get in future years.
Alex Zukin: Makes sense. And then maybe I'll just ask the inverse of Michael's question, which is the Doge and the push to digitize paperwork, are there any conversations that actually could be positive for you guys over the coming year that maybe could be a tailwind from that?
Allan Thygesen: Well, we are bullish on the opportunity with the federal government. And as mentioned, we've hired two new senior leaders to lead those efforts. They're already jumping in, and it's exciting to see. We're putting some product resources on it, and we're going to have a very robust offering. And so, and I think we have, and frankly, with the products that we already have available today, we could add a lot of value to a lot of those processes, whether it's in procurement or in veteran and self-serve options for taxpayers or service recipients. So we're having some of those early conversations that it's way too early to say whether it's going to contribute anything. It is not in our forecast. But if we get something, that would be great.
Alex Zukin: Awesome. Thank you, guys.
Allan Thygesen: Yep.
Operator: Our final question is from Will Power with Robert W. Baird. Please proceed.
Will Power: Okay. Great. Thanks for squeezing me in. You all had a lot of success for a few quarters with, you know, early renewal activity just due to consumption trends and expansion improvements. I guess I just wonder, you know, as you look at kind of the renewal cohorts, you know, they're coming up, you know, this year, you know, why would we expect some of that to continue? Just it'd be great to kind of get kind of your flavor on, you know, what you're looking at this coming year versus what you've seen here recently on the renewal front.
Blake Grayson: Sure. I'll take a stab. I think, you know, we talked about this actually as one of the headwinds for us in the full-year guide. It's one of the considerations you'll see in the prepared remarks. I think your, you know, your point is accurate, which is early renewals are great. You know, if they're customer-driven, if you're doing a healthy renewal, that's great. What it also though does is we have a certain amount of capacity available for us, right, with a given quarter. And so what we're trying to do in the go-to-market team and, you know, in Paolo's world is really make sure we're prioritizing resources in the quarters that provide the best opportunities for expansion. And so if we're doing a flat on-time renewal, the only reason to bring that in early might be from a certain customer situation. If the customer is asking for it, we should absolutely, you know, make that consideration. But giving our go-to-market teams the most capacity available to focus on expansion opportunities, so you can have early renewals with expansion, and so that's good. But how do we balance that out? And so you could see that, you know, in the past couple of quarters, we have talked about a little bit of an early on-time tailwind for us coming in. What we're trying to do is just balance that out a little bit for us, and we think that gives us essentially more resources to put towards the expansion opportunities. And, obviously, our number one job right now is to try to spin this flywheel, expand this business, and accelerate growth. We think that gives us the best opportunity to do that.
Will Power: Okay. Great. Thank you.
Blake Grayson: Yep.
Operator: We have reached the end of our question and answer session. I would like to turn the conference back over to Allan for closing remarks.
Allan Thygesen: Thank you, operator. Thank you to all who joined today's call. In closing, I'm really proud of DocuSign, Inc.'s progress as we improve the performance of our business and increase the pace and scale of innovation delivered to our customers through the IAM platform. Thank you to the team for your commitment as we continue to transform DocuSign, Inc. into our owners as we pursue the significant opportunity that lies ahead. Thank you all.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.